Operator: Good day, everyone and welcome to the PBF Energy First Quarter 2017 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode, and the floor will be opened for your questions following management's prepared remarks. Please note, today's call maybe recorded. I will be standing by if you should need any assistance. It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray - PBF Energy, Inc.: Thank you, Erica. Good morning and welcome to today's call. With me today are Tom Nimbley, our CEO; Erik Young, our CFO, and several other members of our management team. A copy of today's earnings release, including supplemental financial and operating information is available on our website. Before getting started, I'd like to direct your attention to the forward-looking statement disclaimer contained in today's press release. In summary, it outlines that statements contained in the press release and on this call that express the company's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we described in our filings with the SEC. As noted in our press release, we will be using certain non-GAAP measures while describing PBF's operating performance and financial results, as we believe these metrics are useful. For reconciliations of non-GAAP measures to appropriate GAAP figure, please refer to the supplemental tables provided in today's press release. I will now turn the call over to Erik Young.
C. Erik Young - PBF Energy, Inc.: Thanks, Colin. As a result of changing hydrocarbon prices during the first quarter of 2017, we generated a non-cash lower-of-cost-or-market or LCM, after-tax adjustment of approximately $16 million, which decreased our reported operating income. The remainder of our comments today will exclude the special item. PBF reported income from operations of approximately $16.7 million and an adjusted fully converted net loss of $22.7 million or $0.20 per share on a fully-exchanged, fully-diluted basis. For the quarter, G&A expenses were $43.8 million. Depreciation and amortization expense was $60.9 million, and interest expense was approximately $37.2 million. PBF's reported effective tax rate for the quarter was approximately 38%. For modeling purposes, you should continue to assume a normalized rate of 40%. Our normalized RINs expense for the first quarter totaled $65 million, which is lower than the prior quarter. Our normalized Q1 expense reflects the overall decline in RINs prices and reduced PBF product volumes, resulting in a lower aggregate obligation. Our first quarter realized RINs expense was approximately $45 million, which reflects actually timing of purchases. Despite the reduced compliance cost in the quarter, our view on RINs has not changed. The flaws in the system remain and we expect regulatory reform. Refining and Corporate CapEx for the first quarter was approximately $170 million, which includes investments in the turnarounds at Chalmette, Delaware City and Torrance, as well as for the strategic project in Chalmette, to restart the reformer and associated hydrotreating units. At this point, I'd like to update our consolidated 2017 CapEx guidance. We expect that Refining and Corporate CapEx for 2017 will continue to be in the $575 million to $600 million range. We're updating our 2017 CapEx for PBF Logistics to $110 million to $120 million to reflect the recent transactions. With respect to the balance sheet, we ended the quarter with liquidity of approximately $1.2 billion and a net debt-to-capitalization ratio of 38%. Finally, we are pleased to announce that our board has approved a quarterly dividend of $0.30 per share. Also of note today, PBF Logistics announced its 10th consecutive quarterly distribution increase to $0.46 per common unit. I'll now turn the call over to Tom.
Thomas J. Nimbley - PBF Energy, Inc.: Thank you, Erik, and good morning, everyone. We accomplished a significant amount of work in the first quarter of 2017 and that work continues into the second quarter. We continued to focus on the safe and reliable operations of our refineries and as was mentioned in this morning's press release, we invested over $170 million in our assets, with over two-thirds of that in turnarounds. We successfully completed the first turnaround under PBF's ownership at our Chalmette Refinery during the first half of the quarter. We've refurbished the crude unit, one of the crude units, which had not been fully turned around in over 14 years. We made a number of improvements which should increase reliability and also made preparations for the restart of the idle reformer and hydrotreating units. The turnaround took place during the first two months of the quarter and was completed on-time, on-budget and with excellent safety results. The team at Chalmette performed well and the refinery's post-turnaround performance reflects their work. Since the crude unit restart, Chalmette has run over 175,000 barrels per day and its operating expenses have been approximately $5.35 per barrel, significantly lower than the first quarter average and more in line with our longer-term objectives. The work to complete the restart of the reformer continues. The project is on pace to commence startup by the end of the second quarter and is currently projected to be under budget. As a reminder, with these units online, we expect to see improved yields and margins with an estimated annualized margin uplift of $70 million. Additionally, the construction of the new crude tank at Chalmette is well underway, and we expect it to be in service by late fall. PBF Logistics is funding 100% of the project and net of storage fees paid to PBFX, we expect to generate an additional $20 million in margin to direct demurrage cost savings and increased efficiency at our docks, allowing for increased product exports and additional crude flexibility. In April, Delaware City successfully completed its FCC related equipment turnaround on-time and on-budget and again with excellent safety performance. The FCC was re-streamed last week, and all other units will be online by the end of this week. As with Chalmette, we expect to see improved reliability and operational improvements coming out of the turnaround on the East Coast. Our financial results for the quarter reflect the substantial turnaround were completed as well as some unplanned downtime in both Toledo and Torrance. While we experienced some headwinds, we also saw improved product realizations in all of our regions. Gasoline demand was seasonally weak, but we saw positive distillate demand and margin improvements for chemicals and certain low value products such as asphalt. We still have some work ahead of us with the ongoing turnaround of several units at Torrance, including in the hydrocracker, crude and coking units. The work on the hydrocracker is well underway, and we expect to have the unit back in service by the end of May. The crude and coker turnaround will begin next week, and that work should be complete by the end of June. As with Chalmette, once we complete the work in Torrance, we expect to see improved reliability and operating performance. In terms of the broader market conditions, we are monitoring inventory levels and are cautiously optimistic that consumer demand and continued strong domestic economic activity will support cracks, particularly the distillate crack, going into the summer. In the first quarter, there was a significant amount of refining system maintenance, and we are seeing overall system utilizations increase, which if it continues, could exacerbate already high inventory levels. However, we feel that the U.S. refining system is highly competitive in a global products market and is poised to gain additional market share in the export markets. We see the combination of continued strong demand in South America and Latin America for both gasoline and distillates, supporting production by clearing the domestic product markets. We are positioning our assets to be successful in any market. Our commercial team continues to focus on improving the margins at all of our refineries by expanding into local product markets and maintaining significant feedstock flexibility. We continue to focus on cost control, particularly in Chalmette and Torrance, and in time, we expect to bring our operating cost in lines with our regional peers. While it is too early to declare a complete success, Chalmette's performance in March is indicative of its potential, and we will continue to bring our overall system operating costs down. We continue to see significant opportunities in 2017. We are investing in our assets and our teams to improve liability and reduce cost. While RINs remain a burden, the drop in prices over the last four months has benefited PBF, and we do expect that we will soon receive further clarity on the program going forward. Today, we have four refineries running well with Torrance about halfway through their turnaround work. Cracks remain healthy for clean products, and we are seeing strength in the petrochemicals, lubes, and asphalt markets. We look forward to the second half of the year when we expect to have all five refineries operating with a clear path, all of our major turnarounds will be behind us, and we have several margin improvement projects that will be coming online. Operator, we've completed our opening remarks, and we'd be pleased to take any questions.
Operator: In a moment, we will open the call to questions. And your first question comes from Paul Sankey with Wolfe Research.
Paul Sankey - Wolfe Research LLC: Hi, everyone. Good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning.
Paul Sankey - Wolfe Research LLC: Tom, no better man than you to ask about PADD 1 gasoline. It seems like the general seasonal trade that we would normally anticipate at this time of year is a bit different. And I am – obviously, PADD 1 would be the ultimate answer, but I am talking really about gasoline in general here. Can you just give your latest observations on what we're seeing is somehow and what seems to be a bit of new era for refining? Thanks.
Thomas J. Nimbley - PBF Energy, Inc.: Thanks, Paul. I'll make a general comment. Obviously, inventories of gasoline essentially flat year-over-year. Demand is flat to down slightly. It's a little early to say whether that is going to continue or change some. We're just getting into the complete swing over of the low – into the low RVP season. So we're clearly looking at that very closely. The thing that I think perhaps everybody on – all the analysts on the line were looking at and we are looking at is coming out of the maintenance season – heavy maintenance season run is getting to over 17 million barrels a day, that's the thing that we're going to watch. I will say this, as we swing over to a lighter slate in the country, simply because we're getting a light production and obviously some of the moves being made by OPEC is tightening up the differentials. As you see utilization and runs go up, there is also a corollary impact that comes with that is you will not get the same yield on gasoline on a incremental run, because the light barrel will not fit correctly into the downstream units beyond a crude unit and in fact has some quality issues in getting into the gasoline pool, particularly in summer time gasoline season. So while we have – actually PADD 1 inventories, I think are actually a little bit lower year-over-year, but generally, we're looking at gasoline. As I said earlier in my remarks, we're cautiously optimistic on distillate to having some legs, because of GDP growth worldwide and the increase in drilling. We're watching gasoline close.
Paul Sankey - Wolfe Research LLC: Yeah. The run levels have been really quite staggering, haven't they across the U.S. system?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. Now, a couple of things there is, one you have the amount of maintenance, and you'll hear us say it in a moment, we started up Chalmette as crude unit after the turnaround. We were running that crude unit at about 60,000 barrels a day, some of that was economic, but some of it was because of the limitations on a unit, ever since we bought the place. We put it to its paces (13:45) after we started up and we run over a 100,000 barrels a day to first time that unit has run over 100,000 barrels a day since 2006. Now, expand that over the amount of equipment that we shut down. When you clean out all these pipes, all these pieces of equipment, and you bring them on, they can run, and it will slowly back off a little bit. So it's not completely surprising to me that we got up to that level, some of the flashes and splitters coming online benefit that. But I would repeat, when we look at this, I'm going to be very intrigued, if the U.S. refining industry continues to swing as they likely will to a lighter slate what the collateral impact is in blending gasoline and putting in – obviously going to lose a little bit of distillate, so time will tell.
Paul Sankey - Wolfe Research LLC: Yeah. Thanks, Tom. And then, just – so that you can answer a PBF specific. I think there was a focus on obviously on Torrance, can you just give us your very latest on how you feel about the operations there? And I'll leave it there. Thanks, Tom.
Thomas J. Nimbley - PBF Energy, Inc.: Okay, thank you. Simple answer is, I feel better. I'd say we wouldn't – it's too early to declare victory in Chalmette and it's way too early to declare victory in Torrance. But, we have told you before that we – this is the number one priority for this corporations, the safe and reliable operation. It is facility we've had an enormous effort put in place to buttress resources in Torrance both from inside and outside the company, inside from other sites. And that appears to have been paying dividends. As I said, it's early in a game. We did have the pump fire early in the quarter, but Torrance, actually ran quite well after that. We actually did quite well in running in the month of March even though we were starting to shut down some equipment. So we feel we're on a right track that's – I don't want to declare victory. This is a process you can take some time, but with the infusion of people – and I've said this before to you folks, Torrance is not a steel issue, it's a people issue, it's a systems issue to a certain extent and that's what we're focusing on and the good people of Torrance are responding. So we're – as I said, cautiously optimistic and clearly we've seen some progress.
Operator: Thank you. And we'll take our next question from Ed Westlake at Credit Suisse. Please go ahead.
Edward Westlake - Credit Suisse Securities (USA) LLC: Yes, good morning. I guess, just continuing on the Torrance theme. The commercial was another aspect of the improvements, I guess, both on the crude side and then product, maybe an update in terms of the efforts you've made there quarter today? I'm pretty sure it's not running now, but...
Thomas J. Nimbley - PBF Energy, Inc.: Yeah, you just gave the answer to your own question to a certain extent, Ed. But, as we said before, we're very excited about what we believe is going to be higher commercial contribution and we certainly thought going into the acquisition. And we already captured some of that. We're moving gasoline 10,000 barrels a day or so into Vegas which is a market that Exxon didn't play in, obviously, we're getting good net backs on that. And we're clearing a barrel out of LA. We're doing the same thing in trying to move more jet fuel into LAX. We got plans underway to expand that. We're in a resid business with Iraq (17:27) in Torrance, and we've effectively with no capital figured out how just with the power of the existing kit to debottleneck the distillate capability of that machine by maybe 10,000 barrels, 12,000 barrels a day, if the market is there. All of those efforts and there were more. Including crude optionality, we've brought in a number of different crudes, but frankly, to speak the obvious, we've been hampered on how much of that we can capture by the operating problems that we've had in a facility. And now that we're in a turnaround, we're not going to be able to capture all of that until we get the units back. But there is no doubt that we wish to have more potential in capturing a higher commercial marketing, if you will, uplift than what we had measured and modeled.
Edward Westlake - Credit Suisse Securities (USA) LLC: And then, maybe this is just my memory, but any updates on the power situation for the refinery?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. I'm going to turn that one over. We have the President of the Western Region here and he is very very conversant in that.
Jeffrey Dill - PBF Energy, Inc.: Thanks, Ed. As I spoke last quarter, there have been a number of things we've already completed with Southern California Edison that have really improved reliability and really increased the coordination between the two companies. It's been a good relationship. We continue to pressure them along with support from the city and the AQMD to keep them attentive to what works well for Torrance. So, they've made a number of upgrades on the system that we currently utilize to feed the refinery. They've changed work practices, they communicate and coordinate with us much better. So, it has given us much better reliability since the September-October outages and that's working very well. We are continuing to move forward on the new infrastructure project. The engineering work is going per schedule. We have already begun the permitting process on that project with the City of Torrance. We expect that to continue as I've reported in prior quarters and look forward to bringing that online over the coming years. That capital is just going to be spread across the annual capital budget for the refinery in the coming years.
Operator: Thank you. We'll go next to Phil Gresh with JPMorgan. Please go ahead.
Philip M. Gresh - JPMorgan Securities LLC: Hey, good morning. I will continue one more on Torrance first. Just wanted to get your thoughts on the OpEx side. if I think about your guidance for the second half of the year on runs, if an employee going to run over 100% and I know that OpEx is also clearly a big part of trying to achieve your long-term EBITDA target. So, as we look towards the second half of the year coming out of the turnarounds, do have a view on where those costs can add?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. We said, we're targeting $50 million of annualized operating cost expenses at both Chalmette and Torrance. And we are underway, we are a little bit behind probably on Torrance and it's simply because of the operating problems that we did have. And now, we're focused completely on executing these turnarounds without incident on-time, on-budget, and getting the units back on line. Phil, when you go beyond that, I absolutely expect that we're going to see significant progress in two fronts. This unit – the Chalmette unit wasn't turned around in 14 years, I think this one is 10 years. And, when you run units that long, you're going to run into some problems and we would expect that with the units cleaned up and turned around and basically have a new car – or your car tuned up. It's going to run better and corollary with that is good throughput and good – better OpEx performance. The second thing, I'll say, there are number of things that have been identified already by the team out there, that will reduce OpEx period, but those steps are going to be implemented after we get the refinery up and running. So, it's a second half play, but we are still confident that we're going to be able to get that OpEx down.
Philip M. Gresh - JPMorgan Securities LLC: Okay. Thanks. Second question is on Toledo. You put up a really good margin improvements on a realized basis relative to your indicators. I was wondering what drove that improvement obviously as we move through March. Now we're starting to see some increases in Syncrude cost and I am wondering about the sustainability of this margin improvement and if you could just give us a little more color there.
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. Some of it is clearly due to petrochemicals. We've had good cracks in petrochemicals, so the whole country has, and we are seeing an uplift and a benefit on that. Toledo, the rest of it really revolves around, as you suggest, the cost of the feedstock crude, et cetera. We had reasonable cost of crude. We did get impacted and are being impacted as we speak from the upgrade or downtime, but we've blunted that, because I will say that as we said – it wasn't maybe as crystal clear as it should be. The key to PBF has always been in our mind having enormous feedstock flexibility and being able to substitute. And one of the things that commercial – our commercial organization did with the refinery is when Syncrude prices blew out there, we did a – we couldn't totally substitute Syncrude, but we did a fair amount of substitution, brought in other local crudes and other crudes that they were able to procure, which will blunt that. But frankly, we probably have a little – a month here where we're going to have some cost crude here. Syncrude obviously is back down to, I mean, look, what it was this morning, about $2 or $1.5 over TI (23:13). So that will be short-term, and I suspect Toledo is going to perform very well. We did have very good cracks (23:19) for a period of time. And not coincidentally perhaps right after the upgrade went down and CS (23:26) got into $89 under TI and Syncrude blew out over TI. You can't run that and make money unless you have decent crack and the cracks respond, that came off the last couple of – since the last week like everything there, because of I think everybody getting a little jittery on those runs numbers.
Philip M. Gresh - JPMorgan Securities LLC: Sure. And my last question, this is for Erik. Just on the working capital headwinds, it appears we saw in the quarter and how you see that progressing through the year. And secondarily, should we anticipate any cash coming back to PBF's parent for the rest of this year from any drops? So how are you thinking about that?
C. Erik Young - PBF Energy, Inc.: We did have a decent working capital use during the course of the quarter, and the vast bulk of that, I think, is primarily driven by just an increase in inventory. Some of that is going to be seasonal, and then the other portion is going to be driven by just our turnaround activity, whether it's building inventories as we prepare to take units down or building intermediate inventories. So once we're through the remainder of this cycle, we'd like to see some of that – a portion of that capital come back to us. A lot of that will also be dependent upon where hydrocarbon prices are during the second half of the year. In terms of drop-downs again, we really haven't provided guidance on actual timing around drop-downs. What we would say is, PBF Logistics has been very active during the first quarter of 2017. So based on where our ultimate long-term goals are, we feel like we're completely in line with those. We did have an increase in distribution again this quarter, representing our 10th consecutive distribution increase. And we've also said, it's very logical that assets to be drop-down are probably coming out of our West Coast and Gulf Coast assets before anything else. We did drop the 50% interest in Torrance Valley Pipeline during the second half of 2016. And again, we're not going to actually pinpoint timing, but we're constantly evaluating drop-downs and getting these assets ready to go into the MLP.
Operator: Thank you. Our next question will come from Roger Read with Wells Fargo.
Roger D. Read - Wells Fargo Securities LLC: Yeah. Good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: I guess, coming back to the – let's just call it the lower OpEx reliability, et cetera, what's the longer term goal at Chalmette? It seems to me kind of we've discussed before on these calls, getting under $4 a barrel OpEx, kind of a more consistent Gulf Coast cash cost. Is that reasonable, and is there a timeline for achieving that?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah, it certainly is reasonable. We benchmark against our competitors. We have a fairly complicated refinery and complex refinery in Chalmette, but there is no reason that we can't get the OpEx down to $4 or sub $4. When we get the reformer up, and frankly some of that is going to be the visor (26:26), right. We're running probably 200,000 barrels a day of input through Chalmette right now. We're running 175,000 of crude or so, and then we've got with all the cats and dogs that we put in there, including butanes, it's a pretty high number. But as with Torrance, the Chalmette folks have identified a number of specific steps to get that operating cost down, that's a contract with – the refineries have with headquarters. When we put a budget together and they commit to operating cost expenses, we consider it to be a contract. So we expect to be able to deliver on that.
Roger D. Read - Wells Fargo Securities LLC: Okay, thanks. Well, I know this might be a little premature as you're getting through these turnarounds and focused on improving Torrance's operation. Acquisition still seems to be a core part of your business focus. What should we think about you doing differently as you look at the next level of acquisitions, just that you're more comfortable from a due diligence side on the operational potential of any you might?
Thomas J. Nimbley - PBF Energy, Inc.: I think our overall strategy that we've enunciated before hasn't changed, although there is a little bit of a twist and you just hit on it. The strategy, of course is going to continue to grow. We want to grow the MLP, but we want to grow through acquisition in refining space. We're going to concentrate that in North America and we're not going into Mexico. So, we would consider an opportunity in Canada, if it was – if it met the model, and certainly we would focus on, as we've said before, inside the lower 48, PADD 3 and PADD 5, and that's simply because we prefer to have more than one refinery in the regions we run. You could say, well, you could also get PADD 2, but that might be a little bit – the bid ask we believe might be a little bit wide. So, that remains the base strategy. We don't have anything right now that we're working on in detail or anything like that, but we certainly want to continue to pursue that, but you made an interesting point. I said it has to fit the model, Chalmette and frankly all five refineries that we purchased fit a model that we subscribe to. Chalmette and Torrance, we bought at a very good price, we believe, and we're going to have to demonstrate the good value we get from it. However, they were – we got them for the prices, because they were fixer uppers, that's the bottom line and we knew that going in. I would rather buy a refinery that had a little bit of better track record on how they ran, because as the system gets bigger, you stretch yourself in doing what we're doing a little bit in Chalmette and Torrance. As I said, I think we're not declaring success, but we've made great progress in Chalmette and we're on a right direction in Torrance, but we like to have something that is a more of a known commodity as long as we can make the financial metrics on it.
Operator: Thank you. Our next question will come from Doug Leggate from Bank of America.
Doug Leggate - Bank of America Merrill Lynch: Hi, good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning.
Doug Leggate - Bank of America Merrill Lynch: Hi, Tom. Tom – no, I'm sorry, I can't – the pronunciation is hysterical. So, can we talk about the cash burn and the outlook for the year? How do you see the cash flow and balances? Obviously you've reiterated there, you've put a dividend up again this quarter. But, you did the share equity in December and obviously you've kind of burnt through a fair amount of cash in the first quarter, how do you see the outlook for the balance of the year?
Thomas J. Nimbley - PBF Energy, Inc.: I'm going to let Erik take the bulk of the question. But, as he said, he mentioned, when you do these turnarounds lots of things happen. We probably – what, built $200 million – north of $200 million of working capital in the first quarter, as we had. First where we had a couple of upsets, but as you get ready for the turnarounds, for example, in Torrance, we have no choice. We got to take the crudes from Exxon whether or not the plant is running or not. We don't want to sell the crude, because we lose money on it, so we're storing it. And then, we're going to run it down and that cash is going to come back. So, it's a short – we believe, it's a short-term impact that shows itself pretty clearly in this first quarter results, because of the amount of inventories including intermediates we built. With that, Erik?
C. Erik Young - PBF Energy, Inc.: Yeah, I think, Doug, ultimately we've built between $235 million and $240 million of inventory during the quarter, that is not going to come back immediately during the second quarter, because again Torrance is in the midst of turnaround and we're still going to be working a portion of that inventory down. But ultimately, we will have CapEx that we'll need to spend during the second quarter. We did say upfront that the first half of this year is going to CapEx-heavy. Once we get through these turnarounds or the remainder of the turnarounds in Torrance, we ultimately are going to see a portion of the inventory balances start to move down, and ultimately we'll see at the same time, the CapEx burn during the second half of the year will be considerably lighter than what we're going to see during the first half. So from a cash perspective, I think, it's never fun to build that much inventory, but it's part of the business and we're also subject to fluctuations in hydrocarbon prices. So, a lot can swing very quickly in this business. We've seen it swing back the other way over the course of a quarter as well. So, I think right now, ultimately, we truly focus on cash that at the end of the day is the most important thing for us. So it's something that everyone here has their eye on and ultimately, we feel comfortable about what we're doing now this has all been part of our plan as we entered into 2017.
Doug Leggate - Bank of America Merrill Lynch: That was really helpful. Erik, can you quantify the working capital build in the quarter (32:26)?
C. Erik Young - PBF Energy, Inc.: Yes. Overall, we had a net working capital change of about $200 million and of that, roughly $240 million came from inventory. So we use $200 million of working capital.
Operator: Thank you. We'll go next to Brad Heffern from RBC Capital.
Brad Heffern - RBC Capital Markets LLC: Hi, everyone.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning.
Brad Heffern - RBC Capital Markets LLC: Hi. Just following on Doug's question, I guess, kind of what was underlying the first part of it. I'm curious about the dividends. Obviously, I think you guys have a different strategy than a lot of your peers as it relates to cash returns and so I'm wondering how sustainable you see it at this point and how important you think it is for the shareholders?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. Well, we think it's important to the shareholders. And I speak as a reasonably large shareholder, so it's reasonably important to me. And we think that the – we absolutely expect to be able to continue to pay the dividend that being said. Erik said it absolutely correctly. Cash is king and if for some reason, we don't operate or we have other problems that impact us, we always with our board discuss other financial measures that we might need in a contingency basis, and clearly continuing to pay the dividend is one of them. But, our view is that, we will have the wherewithal to pay as it is important strategically for us to pay it, reward, and give back to our shareholders, it's a nice yield. So, we would expect that to be the case.
Brad Heffern - RBC Capital Markets LLC: Okay. Thanks for that. And then, I was hoping we could dig into the Chalmette performance a little bit more. Obviously, there was a pretty substantial margin increase sequentially when the cracks weren't really up very much. So, was part of that related to when the downtime fell during the quarter? Is it the petchem impact that you talked about before? Or is it just running better? What were the combination of factors that caused that big increase in margin?
Thomas J. Nimbley - PBF Energy, Inc.: All of those, plus Chalmette has the lowest cost of crude in our system or has recently. And if it runs well, it's going to be able to generate a reasonably good EBITDA, because of all of those reasons and frankly we've got a running well right now. We're pretty excited about or pleased. Excited is probably an overstatement. But, pleased with the way it ran, because it does show what the power to machine is. But, chemicals was strong, relatively good clean product yields, operating cost improved, but a big piece of Chalmette's profitability, the largest piece is probably the crudes that it can run – it runs some really tough stuff, heavy stuff and that really contributed to first quarter.
Operator: Thank you. We'll go next to Blake Fernandez from Scotia Howard Weil. Please go ahead.
Blake Fernandez - Scotia Howard Weil: Hey, guys. Good morning.
C. Erik Young - PBF Energy, Inc.: Good morning.
Blake Fernandez - Scotia Howard Weil: Tom, I think you may have covered this at the end of your prepared remarks, but I just wanted to confirm, once you get past the Torrance downtime, are there any kind of material or notable downtime activity for the second half of the year?
Thomas J. Nimbley - PBF Energy, Inc.: Really, no material loss significant. We're going to have cats and dogs. We will take out a hydrotreater (35:40) to change out the catalyst, but there is nothing on the horizon now after we complete Torrance until 2018. And to Eric's point, to say that, CapEx was frontend loaded in the first half of the year is a complete understatement. So, we're going to drop off a cliff if we run right in terms of the investment in the refineries over the second half of the year. And then, the whole point there is to run properly, put some money back in the cash register, build up the balances, and then if we have an acquisition opportunity, we'll be in good shape to do that. And frankly, we've got a fair amount of self-help projects, lower cost projects that we've identified that's completely on a backburner, because we don't have the resources to work on them, while we're doing all this big work, we would start to look at that for next year.
Blake Fernandez - Scotia Howard Weil: Okay, great. Thanks. Second question, speaking of M&A, this maybe a little bit of a one-off. But one of your peers has recently kind of strategically focused on the specialty lubes business and kind of base oil production and kind of carving that out as a separate segment. And in a slide deck where they are kind of given the landscape of peers – PBF is on there which just over, I think it's 10,000 barrels a day of kind of base oil production. I didn't know if that's something that you guys would maybe consider trying to expand or carving out separate reporting on at some point?
Thomas J. Nimbley - PBF Energy, Inc.: I'll ask Erik to answer the second part of that. I think the answer is probably, no not certainly right now. But, look, we would look at a little bit of opportunity. In fact, we looked at a little bit of opportunity that the competitor that you talked about that actually executed, but we just didn't think that – we thought we had better uses of our capital, to be honest, but that time will tell on that. But, you're right, I mean, one of the reasons PBF had – I wouldn't say we had a good quarter, we didn't – of course, we lost money. So, you can't say you had a good quarter. But, the Paulsboro Refinery is a strong refinery and may be right now our strongest refinery until we fix Torrance and Chalmette completely. And, a good portion of that is due to asphalt and lubes. So, we would look to expand lubes and do some things even inside of refinery or outside if the right opportunity came along. But – second part of the question?
C. Erik Young - PBF Energy, Inc.: But, in terms of segmentation, Blake. No, I don't think that at this point we have any plans to break out our specialties business on the lubes side.
Blake Fernandez - Scotia Howard Weil: Got it. Thank you.
Operator: Thank you. And, we'll go next to the line of Chi Chow from Tudor, Pickering, and Holt.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thank you. Tom, I think you've touched on this a number of times on the call here, but with your system weighted towards running medium and heavy crudes, how you think about the current environment where the spreads (38:39) on those types of barrels have really narrowed to what looks to be breakeven type levels?
Thomas J. Nimbley - PBF Energy, Inc.: It's a good question and a little complicated answer from PBF. First of all, like I said, our system was built pretty much on making sure we got knobs to turn to go and make adjustments based on any economic environment that exists. And, to put that into context, if you look at our system of, call it, 880,000 barrels a day of total crude, Toledo is a 170 (39:12), and that's a 100% light, sweet. We've demonstrated we can run over a 100,000 barrels a day of Bakken and light crudes in Delaware. We can run 40 (39:23) or so in Paulsboro on the non-lube unit. So now, you're up to 320 (39:29) and Chalmette could probably do another 100, so 420 on an 880 (39:32), so maybe is little south of 50%. But if you really take Torrance out of the equation, because Torrance is a heavy crude machine. And if you look at – that comes out, we're probably two-thirds. We have the capability to run a two-thirds light sweet crude. Will we run that? I seriously doubt it unless the margins really come in and I don't expect to do so, because frankly, because of asphalt and the coking capability and the fact that we have been able to get some crudes not necessarily crudes that we were running, because of OPEC cutting back, and there's certainly been an impact there and we're all seeing it. But, we have still been able to source some crudes that make economic sense even in this environment. And so, we'll do a combination of substituting this crude unit that we just turned around in Chalmette. One of the things we did during a turnaround is, not to get technical, but we figured out, they put in facilities, overhead cooling to allow us to run more light crude on that crude unit. So we'll look to run our HOS or Mars, or LLS (40:39), and those economics are probably going to be good today. And the rest of the system, we're substituting some crudes that aren't the ones that we ran before, but do have good economics. If that disappears, we'll lighten up.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thanks for that, Tom. And then, I guess, what's the longer-term outlook you have on specifically at the heavier differentials? Is this a short-term impact you think, or is this something more structural and (41:09)?
Thomas J. Nimbley - PBF Energy, Inc.: My longer-term outlook is to declare victory, and that is premised on – this is a short-term impact. First of all, narrow light heavy spreads lead to wider light-heavy spreads. The United States, particularly refining system is built to run pretty much medium and heavy crude and is not going to be able to – as I said earlier alluded to, it's not that easy to do, switch everything over to a light crude, but the reason I said is to declare a victory is, look it's middle of 2017 and (41:43) and you get to – it's supposed to be January 1 of 2020, that the entire marine bunker fuel fleet product line is going to get turned on its head, and if indeed it happens, it's going to be done in a way that impacts the ability to put resid from a heavy crude refinery or medium crude refinery that doesn't have a coker into fuel well. So, look this is going to come back. We're very comfortable as I said that we've got the optionality to go either way, but my own view is, we're going to see a widening back-out of the light-heavy spreads. OPEC is probably going to extend for six months, but they're not going to keep that crude in a ground forever, and we would expect to see this thing reverse, like it always does.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. Thanks. Maybe one final question here back on Torrance. Any updates on the hydrofluoric acid issue, and should investors be worried about this issue long-term, why and – why or why not?
Thomas J. Nimbley - PBF Energy, Inc.: We've made – I'm going to give this to Jeff in a moment – I think, we've made serious strides, and it goes parallel to all of these issues tend to get tempered down, if we do our job and run the refinery. That's why we're focused so hard on not bringing attention to ourselves, and that goes to just overall plus the MHF issue, but Jeff why don't you (43:11)?
Jeffrey Dill - PBF Energy, Inc.: Yeah. And this really is not just a Torrance issue. It's an issue we joined with Valero on and get support from both our industry and the chemicals industry. There was bill in Sacramento as there was last year addressing the use of hydrofluoric acid at refineries. That bill did not get out of committee, and so it's not going to get voted on this year, pretty similar to the path that was followed last year. We've also had success at the local level with city council and others supporting the continued use of HF acid as a catalyst at both Torrance and Wilmington. There is an AQMD rule-making process that goes on. But, there is no proposed rule at this point, and everybody is fully engaged in that rule-making process to ensure we reach a good outcome.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you.
Operator: Thank you. We'll go next to the line of Paul Cheng with Barclays. Please go ahead.
Paul Cheng - Barclays Capital, Inc.: Hey, guys, good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning, Paul.
Paul Cheng - Barclays Capital, Inc.: I think the first question is probably for Erik. Erik, for Chalmette, for the quarter that you made $42 million in EBITDA, is there a number you can share what is the margin roughly there, how much is by percent? And also, when you talk about the RIN cost of $45 million, is that in pay (44:37) in any shape or form by either a carryover of the RIN from last year, which is a higher cost or that you prorated that up to whatever is the prorated RIN obligation or you have any liability left?
C. Erik Young - PBF Energy, Inc.: Yeah. Let's go in reverse in order, because I'm going to ask you to repeat the first question. On the second topic related to RINs, yes. Ultimately you're going to have some timing impacts quarter-to-quarter. We did see that in terms of timing of purchases of RINs, that's why we wanted to highlight that our net RIN expense would close through to the P&L, was $43 million for the company, but on a normalized basis, we think that it was $65 million. And related to Chalmette, if you wouldn't mind, just what specifically did you want to understand?
Paul Cheng - Barclays Capital, Inc.: No. Just, I mean, with the first quarter $42 million in EBITDA – because that you've been in turnaround, so March is probably the full quarter-end, I suspect that it represent a bulk of your EBITDA contribution. So just wondering if there is something that you can share. How much is the EBITDA contribution in March from the Chalmette?
C. Erik Young - PBF Energy, Inc.: Yeah. Difficult for us to really breakdown on a monthly basis what we do, but ultimately, yes, directionally, March was a good performer for us during the course of the quarter, because we were in turnaround during the first two months.
Paul Cheng - Barclays Capital, Inc.: And then for, Tom, the second question is that, for Torrance, when I looking at – at least in our benchmark indicator for California, sequentially margin gone up by about $2 per barrel and your realized margin is about flat from the fourth quarter. So somehow along the way either operating issue or other reasons and also there, I mean, RIN cost is much lower. So somehow that your margin realization didn't capture that. I can realize that we have as much of the operating offset relative to the fourth quarter that we resulted, can you – trying to – help me trying to bridge the difference here?
Thomas J. Nimbley - PBF Energy, Inc.: Yeah. I think you just – the bulk of it might have been some on crude cost, I don't know for sure, but I have to go back and look at it. But, the pump fire that we had early on in the first quarter, that resulted in the shutdown of the crude unit – the entire crude unit for a period of time and the vacuum portion of the crude unit for a longer period of time and of course, Torrance runs a heavy crude slate, so its vacuum unit is very important. And I believe the LPO for Torrance was $60 million – $60 million in the first quarter. So, that blunted our capability of getting a higher capture rate obviously. So, if that continues to be the story, we have to not have those events and the only point I would make is like Chalmette, we started turnaround – turn the corner a little bit and with this turnaround, we hope to improve on that. I think Jeff, wants to add a comment.
Jeffrey Dill - PBF Energy, Inc.: Yeah, Paul, look, I would just point out, our logistics organization and then commercial organizations in California have done just a great job. We've opened up three truck racks to bring truck to crude into the refinery and we get great differentials on that trucked crude. As Tom alluded to earlier, we've shown a great deal of flexibility on bringing waterborne crudes into Torrance. So, we're really well positioned coming out of this turnaround commercially on not only feedstocks, but then with the wholesale marketing and other inroads we've made on product margins as well. So, I think when we come out of the turnaround and we're operating a well, you're going to see a much better performance on those fronts.
Paul Cheng - Barclays Capital, Inc.: All right. Thank you.
Operator: Thank you. We'll take our final question from Faisel Khan from Citigroup. Please go ahead.
Faisel H. Khan - Citigroup Global Markets, Inc.: Yeah, thanks. Just a couple of questions. On the crude flexibility. Have you guys looked into or are you going to look at securing crudes in the Permian tanker up to the Northeast? Does that crude sort of sit well into your Northeast system?
Thomas J. Nimbley - PBF Energy, Inc.: Really, right now, we haven't looked at it. We've taken Permian up on a Jones Act vessel, if we could get a waiver on a Jones Act, then it would be a kind of a different story. We can source crudes in frankly – we could probably bring in crudes from West Africa and land it in on a foreign-flag vessel if we wanted to sweeten up at a price that is competitive and maybe even better than Permian. We'll look at everything. Now, I think we're well positioned in Chalmette on the sweet side, because we're sitting there and we've got a lots of volume that we can run. So it really becomes like what are we going to do on a East Coast if we want to start lightening up the East Coast. But we don't expect to be running a significant amount of Permian.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Then next I want to clarify your comments, you said you're not aggressively looking to invest or increase your market share in Mexico, is that what you said or are you sort of (49:45)?
Thomas J. Nimbley - PBF Energy, Inc.: No, no, we didn't say that. Basically, we said we weren't going to buy – I said, I wasn't going to – we weren't going to buy a refinery in Mexico, because they wouldn't sell it. So, when I said – what I said there is look, we're interested in expanding in North America and you can rule out Mexico from a refining space standpoint. To the contrary, Mexico is obviously a great market for the United States to access and heavy big oil company or independent and some of the bigger oil companies is doing it. We intend and have in the past, do it. One that we've done it out of California in a small way and we intend to hopefully see – pursue opportunities there. But we definitely have a strategic objective of getting this crew tank in place in Chalmette by beginning at a fourth quarter. It's a big tank 650,000 barrels. It has a lot of corollary benefits on demurrage, but one of the big things is trying to double the export capability out of Chalmette to Mexico and Latin America. We'll see what happens in Latin America, but Latin America is – certainly in the second quarter it looks like it's going to bring in maybe a 100,000 barrels a day more year-over-year, because of continuing problems, so that's clearly a strategic area that we're focusing on.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. On the LPO you said $60 million for Torrance. What was it for the total...
Thomas J. Nimbley - PBF Energy, Inc.: I think the total company was $100 million...
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Great.
Thomas J. Nimbley - PBF Energy, Inc.: ...which is absolutely unacceptable.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. I got it. Thanks. Thanks, Tom.
Operator: And I would turn the call back over to Mr. Tom Nimbley for closing remarks.
Thomas J. Nimbley - PBF Energy, Inc.: Well, thank you very much for attending today's call. Look forward to talking to you again after the second quarter and hopefully with continued improvement and significant improvement in our results. Everybody have a good day.
Operator: I'd like to thank everybody for their participation on today's conference call. Please feel free to disconnect your line at anytime.